Operator: Good day, everyone, and welcome to The Real Brokerage First Quarter 2025 Earnings Call. At this time, all participants have been placed on a listen only mode. [Operator Instructions] I will now turn the call over to, Alix Lumpkin. Ma'am, the floor is yours.
Alix Lumpkin: Thanks, and good morning. Thank you for standing by and welcome to The Real Brokerage conference call and webcast for the first fourth quarter ended March 31, 2025. We appreciate everyone for joining us today. With me on the call today are Tamir Poleg, our Chairman and Chief Executive Officer; Sharran Srivatsaa, President; and Ravi Jani, our Chief Financial Officer. This morning, Real published an earnings press release including results for the first quarter ended March 31, 2025. The press release, along with the audited consolidated financial statements and related management’s discussion and analysis for the quarter ended have been filed with the U. S. Securities and Exchange Commission on EDGAR and with the Canadian securities regulators on SEDAR. Before we get started, I’d like to remind everyone that statements made in this conference call that are not historical facts, including statements about future time periods, may be deemed to constitute forward looking statements. Our actual results may differ materially from these forward-looking statements, and the risk factors that could cause these differences are detailed in our Canadian continuous disclosure documents and SEC reports. Real disclaims any intent or obligation to update these forward-looking statements, except as expressly required by law. With that, I'd like to turn the call over to Chairman and Chief Executive Officer, Tamir Poleg. Tamir, please proceed.
Tamir Poleg: Good morning, and thank you, Alix. I will start with an overview of our strategy and recent business highlights. Sharran will provide an update on actions we are taking to drive agent growth and improve agent experience, and Ravi will provide a more in-depth discussion of our financial results. I'll then provide a few closing remarks before opening up the call for Q&A. To begin, Real is a real estate technology company that is differentiated in our industry. Unlike traditional real estate brokerage firms, we provide real estate agents with a compelling combination of financial incentives, a proprietary software-based technology platform, which eliminates the need for an agent's physical office space, and a collaborative culture that we believe is unique in our industry. Our vision is to simplify life's most complex transaction that is a purchase or sale of a home, by providing agents with the tools, technology, and resources they need to grow both their businesses and as individuals, while delivering a seamless experience for clients. In the short term, this vision includes the rollout of a consumer-facing product, which streamlines the client experience and enhances attachment of our higher-margin ancillary services. In the long term, we expect our platform to encompass a holistic ecosystem of financial technology products and investment planning tools, providing agents with an avenue to build long-term wealth. Ultimately, as the platform matures, we believe homebuyers and sellers could also benefit from the breadth of our service offering. Our goal is to redefine the role of a real estate brokerage in the lives of our agents and in the broader housing industry. Importantly, just like our institutional investors, many of our agents are also shareholders in our company. That is why we will remain relentless in our focus on delivering long-term value for our agents, for their clients, and for our shareholders. Turning to the quarter. This morning, Real reported record first-quarter results. Revenue of $354 million increased 76% compared to $201 million in the prior year, driven by a 77% increase in the number of transactions closed, which reached 33,600. This compares favorably to the 2% decline in existing home sale industry transactions during the quarter. Gross profit in the first quarter of 2025 was $33.9 million, an increase of 63%, while net loss improved to $5.1 million from a loss of $16.1 million in the prior year. Our strong top-line growth contributed to adjusted EBITDA of $8.3 million, a significant improvement from $3.6 million in the first quarter of 2024. We ended the first quarter with 26,870 agents, up 61% versus the prior year. As of this morning, our agent count exceeds 27,700, meaning we've added over 800 agents since the start of the second quarter. We continue to see strong momentum across our technology platform and high-margin ancillary businesses, including mortgage, title, and Real Wallet, which grew by a combined 50% versus the prior year. As a reminder, these business lines typically generate gross margins that are typically 5 to 8x higher than our core brokerage segment and are central to our long-term strategy for driving margin expansion and operating leverage. That momentum is also being driven by the rapid evolution of Leo CoPilot, our AI-powered agent assistant. In April, we transitioned all inbound agent support calls to Leo, making Real one of the first brokerages to automate its primary support layer with AI. Leo now handles thousands of agent interactions daily across mobile and voice and continuously learns from those interactions to deliver faster, more accurate, and more personalized assistance. This represents a meaningful step forward in our vision to build a scalable intelligent brokerage platform that increases agent productivity while driving efficiency across our operation. Real Wallet continues to show strong progress across both product development and adoption. This quarter, we were pleased to welcome Dominic Parikh to Real as General Manager of Real Wallet. Dominic brings over a decade of experience in fintech and lending, including prior roles at Funding Circle and BCG, and we're excited about the future of the platform under his leadership. We've expanded product functionality with new Apple Pay and Google Pay integrations and in March, launched dedicated tax planning business checking accounts to help agents better manage their tax liabilities. In the U.S., over 3,200 agents now use Real Wallet business checking accounts with total deposits reaching approximately $8 million, including nearly 300 agents using the new tax-focused business checking accounts. In Canada, we've extended over $2 million in credit to 200 agents through our production-based lending program. To put that in perspective, it took real 7 years to reach 3,000 agents. Real Wallet hit that same milestone in just 7 months, highlighting the demand for agent-aligned financial tools. In Q1, One Real Wallet generated $126,000 in revenue, and we now estimate the annualized run rate revenue exceeds $700,000, an increase from $500,000 at the time of our last earnings call, and we expect meaningful upside as adoption and product offerings continue to expand. At One Real Title, we are executing a strategic pivot under new leadership to position the business for greater scalability. Rather than expanding via individual team-based joint ventures, we are now pursuing statewide strategy, which provides more consistent operating leverage and allows us to grow more efficiently. We're launching our first 3 state-level JVs this month, with 3 more expected next month. This model will position us for a reacceleration in title growth in the back half of the year. At One Real Mortgage, we continue building an agent-aligned mortgage business. In the first quarter, we introduced a new stock award program that enables loan officers the opportunity to earn RSUs and participate in Real's long-term upside, similar to programs offered to our agents. This initiative enhances alignment across the transaction and reinforces our commitment to attracting and retaining top-performing LOs who share our vision to reshape the home buying and selling experience. We now have 97 loan officers, over half of whom are real agents licensed to originate loans under the [indiscernible] program, delivering a more connected, transparent financing experience for clients. Altogether, these initiatives reflect our continued focus on building a tech-enabled real estate platform that supports agents at every step of the transaction and strengthens our financial profile in the process. With that, I'll turn it over to Sharran for an update on our growth and agent initiatives.
Sharran Srivatsaa: Thank you, Tamir, and good morning, everyone. I'll provide an update on our brokerage business in a quick top 5 format. So let's dive in and discuss some of the key highlights and areas of focus this quarter. Number one, a sluggish market, but real agents are leaning in. The housing market has kicked off 2025 on a slow note with existing home sale units down about 2% year-over-year during the first quarter, reflecting the ongoing affordability pressures that have weighed on the market. In fact, our latest agent survey indicates a shift occurring under the surface. Buyers are gaining more leverage, and sellers are adjusting pricing expectations lower accordingly. Against this backdrop, Real agents delivered a 5% year-over-year increase in average transactions per agent. We believe it's a clear signal that our agents are well equipped to navigate this market with skill and focus. Number two, while the industry debates, we stay focused. Now I've been in this industry for nearly 2 decades, and the narrative is always shifting from lawsuits and commission rates to today's focus on exclusivity and listing access. It's important to understand that at Real, we don't chase headlines. We stay focused on building a model that works in any market. Number one, when conditions tighten, agents join us to lower their cost structure. Number two, when the market strengthens, they join us to retain more of the upside and participate in ownership. And number three, as a top 10 brokerage, we have the scale to launch a massive exclusive listing network if we believe it was in the best interest of agents and their clients. But we also know there is no one-size-fits-all approach in real estate. Our job is to empower agents and their clients with flexibility and not force them into any single playbook. That's how we continue to grow by staying grounded in what actually helps agents succeed. So number three, continuing our growth momentum as we march towards REALx. We welcomed over 2,700 net new agents in Q1, which was one of our strongest quarters ever. Importantly, our attraction pipeline remains robust, especially among top-producing teams. I am excited to showcase the breadth of our platform next week at REALx, our annual virtual conference open to the entire industry. With thousands already registered, REALx has become a powerful engine for introducing agents to our model, our technology, and most importantly, our culture. I look forward to seeing you all there. Number four, the industry is shifting, and skill is the new commission. We believe real estate remains one of the most complex transactions that a consumer can face, even with an agent's guidance along the way. That's why we see the future of this industry anchored by highly skilled agents who are empowered by AI and systems, not replaced by them. But make no mistake, the skill of the agent is still the most important variable. So for context, in just the past 12 months, 2 foundational pillars of the real estate industry model, which are buyer agency and clear cooperation, have come under fire. On top of that, agents are navigating volatile macro conditions, evolving policies, and rising interest rates. In fact, the national data now clearly shows a widening gap in per-agent sales productivity. The skill gap is real and it's growing. That's why we're doubling down on skill-building with 3 focused delivery formats. Number one, master class style training through Real Academy. This is where agents can learn new skills, new tools, and capabilities on demand. Number two, high-impact regional roadshows where our leaders are traveling and educating in local markets. And number three, functional masterminds like the $100 million roundtable, which is ultra-focused on our largest enterprise teams and the luxury Mastermind for agents serving the high-end markets. We believe a well-trained agent operating on a world-class platform like Real can navigate any change in legislation or policy, or market conditions, and still deliver exceptional results for their clients. While real estate is getting harder, our agents are getting smarter. Number five, strengthening the flywheel for long-term success. So as I step into a new role on Real's Board next month, I have never been more confident in the foundation we've built. Real is now one of the largest brokerages in North America with a leadership team, culture, and platform that continue to raise the bar. In Q1, we advanced the foundation further with enhancements to Leo CoPilot and Real Wallet and team-driven innovations like Pro Teams and private label. These aren't just features. They're part of a growing flywheel that creates long-term value for agents, clients, and shareholders alike. In short, I'm incredibly proud of our team and even more excited about what lies ahead. So to our employees and our agents, thank you. None of this would be possible without you. Now I'll pass it to Ravi for the financials.
Ravi Jani: Thanks, Sharran. We're pleased to report another quarter of impressive performance as we continue to deliver consistent growth and improving profitability. Revenue in the first quarter rose to $354 million, an increase of 76% versus the first quarter of 2024. This was driven primarily by a 77% increase in brokerage revenue, which reached $352 million, while ancillary businesses contributed $2.2 million in revenue this quarter, an increase of 50% year-over-year. Growth in ancillary was led by a 55% increase in One Real Mortgage and 30% growth in One Real Title. As Tamir mentioned, we generated approximately $126,000 in Real Wallet revenue during its first full quarter. And while still early, Real Wallet is gaining traction and should continue to grow sequentially as we roll out new products and features. Gross profit for the first quarter came in at $33.9 million, up 63% from $20.8 million in Q1 2024. Gross margin was 9.6%, consistent with our expectations and compares to 10.3% in the prior year. The year-over-year decline reflects the growing share of production from agents who have reached their annual commission cap. For context, at the end of Q1, approximately 12% of our agent base had capped, up from 8% a year ago. These agents contributed roughly 50% of total commission revenue in the quarter compared to 40% in Q1 2024. As a reminder, once an agent caps, they stop paying the standard 15% split and instead pay a $285 per transaction fee, resulting in lower gross margin on those transactions. Looking ahead, we remain focused on driving gross margin expansion over time as our ancillary services scale. While the shift in revenue mix toward more productive capped agents will likely continue in Q2, we expect this to be partially offset by the fee changes implemented earlier this year, along with the improving contributions from our ancillary business lines. Operating expenses, including G&A, marketing, and R&D totaled $39.1 million or 11.1% of revenue in the first quarter compared to $36.5 million or 18.2% of revenue during Q1 2024. Now the prior year period included a $9.3 million litigation settlement. Excluding that, our operating expenses increased by approximately $12 million year-over-year. Approximately $5.5 million was related to higher revenue share and agent equity-based compensation, with the remaining increase driven by corporate investments across the business, including operations, R&D, back-office functions, as well as higher professional fees, including those incurred related to our transition to U.S. GAAP.Â Adjusted operating expense, which is a non-GAAP measure and meant to provide insight into what we view as our recurring fixed cash OpEx totaled $21.2 million in the first quarter or 6% of revenue. That's a roughly 80 basis point improvement from 6.8% in Q1 2024. We're pleased to see this metric continue to improve, particularly considering the significant investments we continue to make across the business. Operating loss improved to $5.2 million compared to a loss of $15.7 million in Q1 2024, while net loss was $5.1 million compared to a net loss of $16.1 million in the first quarter of 2024. Adjusted EBITDA more than doubled to $8.3 million, up from $3.6 million in the first quarter of 2024, driven by our strong revenue and gross profit growth, which outpaced growth in our ongoing cash operating expenses. Total stock-based compensation for the quarter was $12.7 million, broken down as follows: $8 million related to our agent stock purchase program, which is reflected in cost of sales, $3 million in agent equity awards recorded in marketing, and $1.7 million in employee-related stock compensation. Stock comp is excluded from both adjusted operating expense and adjusted EBITDA, and full reconciliations are provided in our earnings release and investor presentation. We ended the quarter with a very strong balance sheet and net unrestricted cash and investments of approximately $35 million, up from $33 million at year-end. We generated $16 million in operating cash flow and returned $6 million to shareholders through the repurchase of 1.3 million shares. We continue to operate with no debt and ample liquidity to support our growth while maintaining flexibility to return capital to shareholders and opportunistically invest in M&A. I'll close with a few KPIs. Our gross transaction value was $13.5 billion, up 80% year-over-year. Our median sale price was $380,000 in the first quarter, up 2% year-over-year. Adjusted OpEx per transaction was $631, down 12% year-over-year from $715 in Q1 2024. And our headcount efficiency ratio, which we define as the number of full-time brokerage employees divided by the number of agents on our platform, was 1 to 88 at the end of the first quarter. Notably, this is down from 1 to 136 as of the end of 2024, and this is due to the fact that during the quarter, we transitioned 136 employees in India from contractor status to full-time employees, including 70 employees in our R&D organization. Even with this transition, we continue to believe we have one of the most efficient brokerage operations in the industry from a headcount standpoint. More details on our results and key operating metrics can be found in the earnings press release and investor presentation that accompany this call. As you know, we don't provide formal guidance, but we do continue to expect significant improvements in revenue, gross profit, and adjusted EBITDA for the year, and we're certainly off to a good start. I will now turn it back to Tamir.
Tamir Poleg: Thank you, Ravi. As we close today's call, I want to acknowledge the backdrop we're operating in. We know it's been an uncertain time for agents, for consumers, and for the broader economy. But at the same time, we're equally convinced that the world is entering one of the most transformative technological eras in history. The rise of AI is not just another tool, but a fundamental shift that, in our view, will reshape industries, professions, and entire business models. Our industry is no exception. But what gives us confidence is that Real was built for moments like this. As we've demonstrated this quarter and over the past several years, we believe we've developed a model designed to win in any environment. While others brace for change, we lean into it. That's why, despite the noise, we continue to invest in innovation, expand our moat, and deliver value for our agents by embracing the future, not resisting it. In fact, as a small but meaningful signal of where we're headed, I'll let you in on something. My prepared remarks today, including this section, were read entirely by Leo AI. That's not a gimmick. It's a reflection of how far we've come and a hint of where we're going. At this time, Leo is able to have real-time voice conversations, and we are planning to test these capabilities with our agents in the coming weeks. Now let's move to the Q&A session.
Operator: [Operator Instructions] Your first question is coming from Darren Aftahi from ROTH Capital Partners.
Darren Aftahi: First, on sort of AI and Leo. Could you talk about how agent adoption is of using those services? I know you said you switched all of the inbound calls over to Leo, but do you have any metrics that you're tracking you can share about how these tools you're introducing are helping agents that are already quite productive become more productive?
Tamir Poleg: Yes. Thanks for the question. Leo CoPilot is focused on us delivering a better service to the agents. So currently, as we said, Leo is taking all of the inbound phone calls and also having thousands of daily interactions with agents. Those are typically questions that have to do with compliance, with tech-related questions, things that agents need in order to perform or operate on the platform. What we are now building and started testing is all of those things that Leo can assist with agents and their clients. So everything that is consumer-facing, this is still not ruled out. So currently, I don't think we have any metrics that relate to how Leo can help agents perform better or serve clients in a better way. But we do have -- we do track the metrics of providing better service to our agents through faster support, faster answers, help with document review, and all of those things. So obviously, at the end of the day, Leo helps agents save time on every transaction, but still not consumer-facing.
Darren Aftahi: And if I could ask one more. Ravi, on gross margins and capping, like can you help us think about the trends in gross margins? I know like 50% of the revenue was from capped agents, and you're working on the new ancillary programs, but they're not quite at scale yet. Like, how do you sort of get us to think about the trend in gross margins and some of the expansion?
Ravi Jani: Yes. Thanks, Darren. I think, as I mentioned, we did start out the year with a higher mix of capped agents and capped revenue. I mean it's a high-class problem to have just more productive agents on the platform. As I mentioned, I do think that dynamic will continue into Q2, but the partial offset will be the fact that we have some fee program changes in February that will start to phase in. So I think you'll see that mix impact that you saw in the first quarter, but that will be more and more offset as the year progresses, as ancillary and some of the fee changes roll out.
Operator: Your next question is coming from Stephen Sheldon from William Blair.
Stephen Sheldon: Congrats on the strong start to the year, and it's both incredible and scary how much that sounded like you, Tamir. So maybe just on that topic with voice AI, it sounds like you guys have been playing around with it quite a bit. Where do you see the opportunities to take voice AI and kind of leverage it, I guess, within the value proposition for agents? How are you guys thinking about that?
Tamir Poleg: Thanks, Stephen. Actually, my mom couldn't distinguish between my actual voice and my AI voice. So yes, it's pretty scary, but also opens up your mind to a lot of possibilities. I think that when it comes to AI and especially voice, application of AI. We see it in 2 ways. First of all, later this month, we're going to transition Leo phone line, agent support phone line to my voice. So agents who call into our support line will be answered by my voice and can have a conversation with me. We're currently testing real-life conversations between Leo and potential buyers and sellers. So Leo can now have a conversation about what is your desired property, what are you looking for? What's your financial situation? If you want to schedule a showing at a specific house, Leo can already do that, which is extremely impressive. So I think that moving forward, we will continue to expand Leo capabilities with supporting our agents internally, and just saving us a lot of overhead and human capital when it comes to internal support. But at the same time, I think that the biggest potential is equipping our agents with a phone number where they can actually train their own AI to use their own voice and then take their clients' phone calls and answer all of their questions. And in addition to that, throughout that process, I think that lies a tremendous opportunity to also push our ancillary services through those direct interactions that Leo will have with consumers. So this is where we're heading. It's moving very quickly. And as I said, even this month, we will experiment with some things that I don't think that anybody else in the industry is trying to do.
Stephen Sheldon: Yes, it will be fascinating to see how that all progresses. And then just maybe on the agent recruiting side, you guys are becoming more and more of an outlier in the industry by growing agent count when most are losing agents. So I guess is there any part of Real's value proposition that's really resonating right now, or initiatives like private label and proteins that are gaining even more traction? Is there anything that when you look out there that stands out as having an outsized impact on your ability to recruit in this environment?
Ravi Jani: Yes, I can take that. I think that on agent attraction, what we've been doing very well for many years now is finding the right balance between providing value and constantly growing that value and the cost of operating on our platform. And I think that with all the technological advances and innovation that we're planning and also putting into place at the moment, that value only increases. So you mentioned private label and proteins. It's a part of the mix. At the end of the day, agents join us either as seller-independent agents or as teams or as brokerages that are coming in under private label. But we don't think that there is any one specific reason at the moment that we can identify that agents are joining because of. It's a combination of value and cost at the end of the day.
Stephen Sheldon: And then just last one for me. On the conversion of some employees in India to full-time, I get that there won't be a financial impact, I think a material financial impact. But will that have any changes on ability to get products and capabilities to market on the development side? I guess just generally, how could this impact speed to market for some of the initiatives you have underway?
Ravi Jani: Yes, there wouldn't be any financial impact. I think that as you bring in independent contractors and turn them into employees and a part of the family, maybe the connection, the bond, and the commitment is a little bit stronger. We are expanding that team. So it will be difficult to compare apples to apples just because that team is continuously growing. But I think that it's a positive move overall that, yes, will help us with time to market.
Operator: [Operator Instructions] Your next question is coming from Matthew Erdner from JonesTrading.
Matthew Erdner: I'd like to build off of that last question a little bit. And then again, congrats on a great quarter. But with regard to the pipeline, are you guys still seeing the same growth at kind of the top of the funnel there? And then as you brought on kind of more people recently, has the onboarding time changed at all when you guys are bringing on these teams or private label brokerages?
Tamir Poleg: Thanks, Matt. Yes, the pipeline is still very strong. We've added about 900 agents since the beginning of the quarter, and we have a strong pipeline, as I mentioned. I don't see any change in the onboarding time. What we do see is maybe more pain overall in the industry. the market conditions are very challenging for agents. So obviously, that has an effect on agent movements and teams movements. We're getting into the selling season, the summer season of the housing market, which is typically slower for agent transitions. But overall, I think that we still have a very strong pipeline, and we didn't see any significant change either way.
Ravi Jani: Yes. Matt, I just wanted to add that Jenna Rosenblatt and her team, they've added a ton of talent on the agent success, agent experience, and onboarding side. And so as private label and Pro Teams have grown, we've added some really skilled leaders that are doing a great job onboarding teams. So relative to a year ago, it is getting smoother, but it's because we've put the resources in place.
Matthew Erdner: Right. That's great. And then as a follow-up, switching to ancillary services. Looking at title and mortgage kind of on that Slide 32, where you guys are located, how much additional, I guess, revenue do you think you could pick up by getting license in all 50 states? And how big of a priority is that for you guys to kind of get rolled out in all 50 states? And then, yes, I guess, just what are your thoughts there?
Tamir Poleg: Yes. At the moment, we're not looking to expand to all 50 states, either on title or mortgage. I think that we have a lot of work to do within the geographies that we're already in. So that's what we focus on. On the title side, we did identify that we had a service level issue that we corrected, and now we go out to our agents. And as Ravi mentioned, we're changing a little bit the JV structures, going from stage JV from team-focused JVs to stage JVs, and we're starting to see the revenue ramping up. Both mortgage and title had record revenue month in April. So we're seeing a lot of momentum. But we just think that it's better for us to focus on the markets that they operate in at the moment instead of going and trying to expand to all 50 states.
Operator: There are no further questions from analysts in the queue. I'll now hand the floor over to CFO, Ravi Jani, for questions from retail investors.
Ravi Jani: Great. Thank you, Matthew. And so now that we've concluded the analyst portion, we wanted to address some of the questions we received from shareholders on the Say Technologies Q&A portal that was opened last week. We received a number of excellent questions. And so thank you to all who participated. First question for Tamir is a combination of 2 questions, but what acquisitions or tech developments are on the horizon that serve Real's agents? And how does Real plan to prioritize in-house R&D versus external partnerships or subscriptions?
Tamir Poleg: Thank you, everybody, for the questions. Obviously, technology is something I'm very passionate about, and we are highly active in evaluating M&A and tech opportunities that could add unique capabilities or accelerate the time to market for us. As you know, the proptech industry has seen billions of dollars in investment over the past few years. And now many of these companies are trading at far more compelling valuations than just 12 or 18 months ago. That said, we'll stay disciplined, and we'll only pursue opportunities that truly enhance our agent value proposition and add differentiated capabilities, improve retention and/or improve productivity. And so we'll always invest organically in our own platform in things like AI and fintech, which we've been focused on in the past 1.5 years. But we see an opportunity to add features or feature sets that we don't have, we'll be opportunistic as long as we believe it creates value for our agents and our shareholders. And as I said at the beginning, we remain very active in looking into potential M&A opportunities.
Ravi Jani: Great. Thanks, Tamir. Next question for Sharran. What is Real investing in with regards to agent support, technology, and growth opportunities?
Sharran Srivatsaa: Awesome. Thank you, Ravi. We're actually investing across the board now whether it may be AI tools and technology, as you heard Tamir talk about, to make agents productive because the more time they can spend taking care of their operating needs, the less time they can spend on the operating there is more time they can spend with their clients. And so -- and then developing these fintech products like the Real Wallet to give agents more financial flexibility, especially in a time like this where there's kind of up and down in market volatility. Also, as the markets change, we're expanding our operations and support infrastructure, maybe broker support or as Tamir talked about, kind of support for agents to get their back-of-the-office stuff done much faster so they can be a bigger and a better service adviser to our clients. And of course, this is not a one-time, non-changing thing. We're sticking to our strategy and always looking for more ways to find and make our agents more productive and of course, to generate more income for them.
Ravi Jani: Great. Thanks, Sharran. Next question I'll take, which is how is Real balancing fiscal responsibility with growth and expansion given the industry slowdown? As you know, we've been disciplined from day 1. We're focused on building a business with strong unit economics. And even as the broader market has contracted the past several years, we've continued to grow and improve profitability by keeping our cost structure lean and leveraging technology. And so at the same time, we're continuing to invest in high-impact areas in technology and agent support and other initiatives that support long-term growth, but we're always going to be very disciplined and focused on cost and execution. And we're fortunate that our balance sheet remains in a really strong place. We have $35 million in cash, no debt. And so we can continue to invest in our business, support our agents while also returning capital to shareholders via share repurchases like we did this quarter. And so last question for Tamir. As the role of the MLS in real estate continues to evolve, what is Real's perspective on its future? And what strategic adjustments is Real making?
A - Tamir Poleg: Thanks for the question. There's been a lot of noise in the industry around the role of the MLS, and it's true that the landscape is evolving as one of the largest brokerage in the country, a lot of companies are involving us in their ideas or their initiatives and trying to kind of collaborate with us on that. But at Real, our perspective is pretty simple. Any change in how homes are listed and discovered should ultimately benefit the consumer. Some companies are approaching this from a lens of trying to gain a competitive advantage, but we're focused on what delivers the best possible experience for buyers and sellers. The reality is the more exposure a listing has, the better the outcome. This is what we believe in, and that's the foundation of an efficient marketplace. So while the MLS conversations will likely continue, here at Real, we'll stay focused on building for the future.
Ravi Jani: Thanks, Tamir. I think it's a great way to wrap it up. If you have any additional questions on today's earnings release, please feel free to contact me directly. Matthew, would you please give the conference call replay instructions once again?
Operator: Certainly. Ladies and gentlemen, today's conference will be available for replay. The replay phone number is (877) 481-4010, and the replay code is 52080. Once again, the replay phone number is (877) 481-4010, and the replay code is 52080. [Operator Closing Remarks]